Operator: Greetings, and welcome to the Marlin Business Services Corp., First Quarter 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lasse Glassen, Managing Director, Investor Relations. Thank you sir, you may begin.
Lasse Glassen: Good morning, and thank you for joining us today for Marlin Business Services Corp.'s 2019 First Quarter Results Conference Call. On today's call is Jeff Hilzinger, President and Chief Executive Officer, Lou Maslowe, Senior Vice President and Chief Risk Officer, and Mike Bogansky, Senior Vice President and Chief Financial Officer. Before beginning today's call , let me remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to Marlin's recent filings with the SEC for a more detailed discussion of the risks that could impact the company's future operating results and financial conditions. With that it's now my pleasure to turn the call over to Marlin's President and CEO, Jeff Hilzinger. Jeff?
Jeff Hilzinger: Thank you. Lasse. Good morning and thank you everyone for joining us to discuss our 2019 first quarter results. I'll begin with an overview of the highlights from the first quarter along with our recent progress on our strategy that is transforming our company from an equipment lessor into a nationwide provider of capital solutions to small businesses. Lou Maslowe, our Chief Risk Officer will comment on portfolio performance and Mike Bogansky, our Chief Financial Officer will follow with additional details on our financial results and business outlook. We enjoyed a solid start to 2019 and strong execution delivered excellent origination volume growth and stable portfolio performance. First quarter, total sourced origination volume was $208.4 million up 27.1% year-over-year and an all time record for first quarter. Growth in the quarter was driven by strong customer demand for both our equipment finance and working capital loan products. Origination volume growth was also strong in both our direct and indirect origination channels and we referred or sold $56.5 million of leases and loans as part of our capital markets initiatives. As a result of these origination and capital markets activities, our net investment in leases and loans is now consistently in excess of $1 billion and up 10% from the year ago. Total managed assets which includes both our balance sheet portfolio and assets we sell but continue to service for others, grew to more than $1.2 billion, an increase of 19.1% from the first quarter last year. In addition, our focus on maintaining disciplined underwriting standards continues to be a top priority and portfolio performance during the quarter was stable and within expectations. Looking at our profitability, we reported GAAP earnings of $0.41 per diluted share compared with $0.50 per diluted share in the first quarter last year. First quarter net income was negatively impacted by $0.04 as a result of the timing of expense recognition due to the adoption of new lease accounting standard. We expect the timing impact to normalize over the course of the year, which Mike will discuss in more detail in his remarks. We also continue to expect earnings to be more heavily weighted towards the second half of 2019 as the recent investments we've made in our salesforce continue to generate returns. Importantly, we are reiterating our earnings guidance for the full year. It also gives me great pleasure to formally introduce here Mike Bogansky, who's participating today in his first earnings call as Marlin’s Senior Vice President and Chief Financial Officer. Mike officially joined the company in early February and he has definitely hit the ground running. As CFO Mike is responsible for our accounting, financial reporting, financial planning and analytics, treasury, tax and investor relations functions, when you hear from him today and interact with him more regularly in the future, I'm confident that you will agree with me that Mike is the right person to lead Marlin's financial activities at an increasingly strategic level and I'm delighted that he's now part of the Marlin team. Also, in early February we announced the launch of our new brand identity to reflect Marlin’s mission of helping small businesses fulfill their American dream. In order to be more congruent with this mission, our new brand unifies us and reaffirms Marlin’s vision of becoming the leading provider of credit products and services to small businesses nationwide. The rebrand is accompanied by a new logo, website and tagline. The new logo incorporates a spark shape which symbolizes the energy, capital and knowledge that we inject into small businesses. Our new website features, videos and customers and partners reflecting on their relationship with Marlin and how we've helped them achieve their business goals. The new tagline, “Lending that Works” speaks to the helpful, agile, trustworthy, approachable and informal voice behind the new brand. If you haven't already, I invite you to take a look at the new brand and new website at marlincapitalsolutions.com. I’d now like to switch gears and provide an update on our business transformation initiative better known as Marlin2.0 by executing this initiative, we expect to drive growth and improve returns on equity by first, strategically expanding our target market, second, better leveraging the company's capital base and fixed costs to origination portfolio growth, third, improving our operating efficiency by better leveraging fixed costs to scale and through operational improvements to reduce unit processing costs and four, proactively managing the company's risk profile to be consistent with our risk appetite. I'd like to share with you the progress we've made in each of these areas since our last call. First, with respect to our strategic market expansion, rather than thinking of ourselves as solely an equipment lessor, we are now focused on providing multiple products and financing solutions to meet the needs of our partners and small business customers. In addition, we have also expanded our go-to market strategy by not only continuing to originate through our equipment vendor partners, but also directly with our end-user customers. As a compliment to our traditional equipment finance business, we continue to be very pleased with the consistently strong performance of our working capital loan product. First quarter working capital loan origination volume expanded by more than 30% year-over-year to $23.6 million this mark the largest single quarter for working capital loan origination volume since we began offering the product in mid-2015. We also remain pleased with our efforts to provide financing solutions directly to our end-user customers. Here we are successfully leveraging relationships built over the past two decades, including more than 80,000 active small business customers along with approximately 5,000 new customer relationships that we originate each quarter. The objective under our direct strategy is to identify additional financing opportunities with these existing customers by offering multiple products and to create ongoing relationships with these customers by meeting a broader set of their financing needs. During the quarter, direct origination volume increased to $43.6 million up from $30.9 million in the first quarter of last year, resulting in a year-over-year increase of 41%. We also made good progress during this past year on our second key priority, which focuses on leveraging Marlin's capital and fixed costs through growth. Driven by strong origination volume and solid portfolio growth during the quarter and full year, we were able to reduce Marlin's equity to assets ratio by approximately 100 basis points to 16.2% from 17.2% a year ago. Our assets syndication program also remains very active and continues to diversify Marlin's funding sources. Overall, we view asset sales as a way to achieve portfolio optimization by better managing its overall size and composition in terms of returns, credit risk and exposure to particular industries, geographies, and asset classes. During the first quarter we sold nearly 53 million in assets that generated an immediate net pre-tax gain on sale of approximately 3.6 million. Importantly, we continue to service the asset sold, which allows us to maintain an ongoing relationship with these customers in support of our direct strategy. As of the end of the first quarter we were servicing a portfolio of approximately $193 million for others. Moving on to our third area of focus, we also continue to make strides in better leveraging the company's fixed costs to grow and by improving operating efficiencies through ongoing process improvements. After adjusting for temporary acquisition related cost and the change in accounting lease standard adopted January 1, this year, our non-GAAP noninterest expense as a percentage of average managed finance receivables for the first quarter was 6.1% compared with 6.5% for the first quarter last year. The Company's operating efficiency ratio adjusted on the same basis was 57.8% for the first quarter versus 55.8% for the first quarter last year. The increase in the ratio during the first quarter was due primarily to increased investment in our sales force and a reduction in deferred origination costs. We do expect the ratio to improve on a year-over-year basis as we generate returns from our investment in the salesforce and as we continue to leverage our capital and fixed costs through portfolio growth and operate more efficiently through our various process renewal initiatives. Our fourth and final area of focus is proactively managing the company's risk profile to be in-line with our risk appetite, notwithstanding the impact from last quarter's vendor fraud. The key credit quality metrics over the last several quarters have remained stable as they did again in the first quarter and our portfolio continues to perform within an acceptable range. Lou will provide additional details on the portfolio's performance in his remarks. In summary, we enjoyed a solid first quarter with momentum continuing to build and we are poised for a strong year in 2019. With that, I'd like to now turn the call over to Lou Maslowe, our Chief Risk Officer to discuss the performance of our portfolio in more detail. Lou?
Lou Maslowe: Thank you, Jeff, and good morning, everyone. Looking at the key asset quality metrics, Equipment Finance receivables over 30 days delinquent were 1.13%, up five basis points from the prior quarter and six basis points from the first quarter of 2018. Equipment Finance receivables over 60 days delinquent were 0.68%, up three basis points from the prior quarter and up two basis points from the first quarter of 2018. Increased Equipment Finance delinquency in the first quarter is primarily attributable to a higher delinquency in the 90 plus day bucket due to greater than typical save rates. As noted last quarter, the increase in delinquency that we have observed over the past year consistent with market trend. A benchmark that we utilize is the PayNet 31- to 90-day small business delinquency index, which in February was up 10 basis points year-over-year. The modest increase in delinquency level, it’s still within our expected range. Aggregate net charge-offs decreased in the first quarter to 1.83% of average finance receivables on an annualized basis, as compared to 2.30% in the prior quarter and 1.68% in the first quarter of 2018. Equipment Finance charge-offs decreased by 55 basis point quarter-over-quarter to 1.64% and remained flat year-over-year. Sequential quarter improvement was primarily due to last quarter’s $1.2 million charge-off that resulted from fraudulent activity by a single vendor. The entire fraudulent portfolio was charged off in the fourth quarter. During the first quarter, we implemented additional fraud prevention tools and resources and expect to continue to do so as fraud prevention remains a top priority for the company. Equipment Finance charge-offs in the first quarter benefited from strong recovery in the higher save rate noted earlier. With the exception of the fourth quarter fraud incident, we remain satisfied with the overall performance of our Equipment Finance portfolio and we anticipate that the level of Equipment Finance credit losses in 2019 will remain within our targeted range. Transitioning now to discuss working capital loans. A 15 plus day delinquency was relatively unchanged in the first quarter from the fourth quarter, while 30 plus day delinquency decreased by 69 basis points. As discussed on prior calls, working capital loan delinquency and charge-offs are more volatile than Equipment Finance given the larger balances and smaller number of contracts. Working capital loan charge-offs for the first quarter increased to 6.72% of average finance receivables on an annualized basis from 5.28% in the fourth quarter and 3.1% in the first quarter of 2018. The increase in charge-offs from the prior quarter was driven by the charge-off of two large contracts in January. They were the primary cause for the higher 30 plus day delinquency at the end of the fourth quarter. While the working capital charge-offs exceeded the annualized 6% that we target in the current economic environment, the average charge-offs over the past five quarters was a very acceptable 5.1%. We do not believe that the first quarter results signal the change in expected performance or credit quality. Based on our projected loss curve, [indiscernible] charge-off performance for the Working Capital Loan product was 78% of target losses. We anticipate that the working capital portfolio continue to perform within our targeted range. The allowance for credit losses was 1.66% of average finance receivable, up four basis points in the first quarter due to an increase in the Equipment Finance allowance from 1.52% to 1.56%. The uptick as a percentage of finance receivables was primarily driven by the higher late stage delinquency mentioned earlier. Based on projected lifetime loss curves, the working capital loan product allowance decreased from 4.02% to 3.94%. Looking ahead, we continue to expect satisfactory portfolio performance through 2019. Our outlook is based on Marlin's stable credit quality metrics as well as continued favorable small business optimism and small ticket portfolio benchmarks that we monitor. With that, I'll turn the call over to our CFO, Mike Bogansky, for a more detailed discussion of our first quarter financial performance. Mike?
Mike Bogansky: Thank you, Lou, and good morning everyone. First quarter net income was $5.1 million or $0.41 per diluted share compared to $6.2 million or $0.50 per diluted share for the first quarter of last year. As Jeff noted, first quarter net income was negatively impacted by $0.04 per share as a result in the timing of expense recognition influenced by the adoption of the new lease accounting standard. This includes $0.03 per share from the acceleration of the provision for uncollectible property tax revenue and $0.01 per share from the reduction in the amount of allowable deferred costs associated with lease origination. We are reiterating our earnings guidance for the full year and we continue to expect earnings to be more heavily weighted towards the second half of 2019 as the investments in our sales force continue to generate returns. For the quarter, yield on total originations was 12.76%, up 40 basis points from the prior quarter and up 32 basis points from the first quarter of 2018. First quarter yield on direct originations was 23.09%, up 130 basis points from the prior quarter due primarily to the mix of Working Capital Loans and our ability to pass through base rate increases in this channel. The yield on indirect originations for the quarter was 9.76% down 21 basis points from the fourth quarter due primarily to the continued shift in our origination mix towards platforms that generally have lower yields but with the lower credit risk. For the quarter, net interest margin or NIM, was 9.59% down 17 basis points from the prior quarter and down 84 basis points from the first quarter of 2018. The decrease in NIM on a year-over-year basis was primarily the result of an increase in interest expense, partially offset by an increase of 32 basis points in new origination loan and lease yield over the last year. We continue to experience a competitive pricing environment and as we've discussed previously, we will continue to pass through increases in our cost of funds as aggressively as the market will allow. We are also addressing the competitive pricing environment may continuing to refine risk-based pricing in our direct channel and implementing it in certain portions of our indirect channel. So that we can balance yield on new business with the underlying credit risk at a more granular level. We will continue to rollout these new features over the course of this year. The company's interest expense as a percent of average finance receivables increased to 2.39% compared with 2.20% for the previous quarter due to the growth in the balance of net investment and leases and loans funded with deposits, coupled with an increase in interest rates on deposits. Interest expense as a percent of average finance receivables increased from 1.49% for the first quarter of 2018 due primarily to the impact on funding costs from the securitization we completed in the third quarter of 2018, as well as an increase in deposit rate. It is important to note that the increased interest expense on the securitized assets is more than fully offset by the increased leverage that was generated with the net result being accretive to ROE over time as the company fully leverages the capital release from securitization. Noninterest income was $12.9 million for the first quarter of 2019, compared with $7.1 million in the prior quarter and $5.2 million in the prior year period. The increase compared with the prior and year ago quarters is primarily due to the company's adoption of ASC 842 lease accounting, which was affected on January 1st, 2019. The adoption of the new lease accounting standard requires a gross presentation on the consolidated statements of operation for certain lessor costs paid by lessee. Accordingly, noninterest income increased by $5.6 million for property taxes that we paid on behalf of our lessees. This was offset by an increase in general and administrative expenses for the associated property tax expense. The increase in noninterest income compared to the year ago quarter is also attributable to an increase in gains on sale and an increase in insurance related income. We realized strong asset sale execution in the first quarter of 2019 due to the flat yield curve as lower swap rates enabled us to achieve better spreads on the assets we sold. First quarter noninterest expense was $24.8 million compared with $16.4 million in the prior quarter and $16.6 million in the first quarter last year. The increase in noninterest expense compared with the prior and year ago quarters was primarily due to the adoption of ASC 842, which increased noninterest expense by $6.1 million due to the aforementioned change in the presentation of property taxes in the consolidated statement of operations. Additionally, the year-over-year increase in noninterest expense is primarily attributable to a number of items including $700,000 of investment related to our prior acquisition and the addition of 12 employees to our sales force, a $300,000 increase from temporary acquisition costs. And finally, $300,000 of nonrecurring expenses associated with the launch of our new brand and ancillary expenses as we complete renovations on our lease building that we recently extended. During the first quarter of 2019, we repurchased 29,947 shares of Marlin common stock for an average price of $23.86 per share. To date, we have utilized approximately half of our share repurchase program that was announced on May 30th, 2017, as $5 million of the $10 million authorization remains available for future repurchases. While we continue to evaluate capital allocation alternatives, we continue to believe that share repurchases are an appropriate use of our capital at this time. And finally, our Board of Directors declared a regular quarterly dividend of $0.14 per share payable on May 23, 2019, to shareholders of record as of May 13, 2019. Now turning to our business outlook. We are reaffirming our previously issued guidance for the full year ending December 31, 2019, as follows: Total sourced origination volume is expected to finish approximately 20% above 2018 levels. Excluding the vendor fraud experienced in the fourth quarter of 2018, portfolio performance is expected to remain in line with the results observed over the last 12 months. Net interest and fee margin as a percentage of average finance receivables is expected to be between 9.5% and 10%. ROE is expected to continue to improve in 2019 as the company continues to improve operating scale. And lastly, non-GAAP earnings per share is expected to be between $2.30 and $2.40. That concludes our prepared remarks and with that let's open up the call for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Brian Hogan with William Blair. Please proceed with your question.
Brian Hogan: Hey, good morning.
Mike Bogansky: Good morning.
Brian Hogan: Just one little housekeeping thing, first. Your tax rate going forward, a little lower than anticipated, just what do you expect from that?
Mike Bogansky: Hi. This is Mike, Brian. Tax rate should probably be somewhere between 25% and 26% going forward. We just had some temporary reductions due to some state tax items.
Brian Hogan: All right. And then on the gain on sale, it was consistent with the last quarter, but the yield went up. I guess what are the pace of sales that you expect and then the yield you're expecting to get on that?
Mike Bogansky: The yield in the first quarter was higher due to the flat yield curve and we had strong execution gains from reduction in swap rates. So we wouldn't expect that to continue through the pace of the year, but the asset sales would remain at a fairly consistent pace for the second and third quarters and then usually the fourth quarter is more seasonally increased.
Brian Hogan: So the $53 million of sales, you're saying that should continue in the second and third quarter and then even higher from there?
Mike Bogansky: No. Sorry. The $53 million of sales includes the $12 million of assets that was originated for sale. So we sold $40 million of other assets. So we would consider the pace that was in prior year's with – increasing into the fourth quarter.
Brian Hogan: All right. Outside of lower yields?
Mike Bogansky: Yes.
Brian Hogan: All right. And next question is focused on the adjusted operating efficiency ratio, up year-over-year, and I guess what are you investing in? And I guess I'm expecting that trend to improve and you articulated that you continually expect it to improve and as well as on prior calls, you've made that statements that it seems to be going consistently in the wrong direction. I guess what are you investing in? How are those returns showing up? And when can we expect the scale benefits that you're talking about to actually show through the adjusted operating efficiency ratio? I mean your portfolio is meaningfully larger than several years ago. You're doing a lot of syndication, gain on sale. I just – help me understand the investments you're making.
Jeff Hilzinger: Yes. Good morning, Brian. This is Jeff. So the primary reason for the increase to the year-over-year quarters is because of the fact that we acquired FFR in the fourth quarter. And so we've got the expense associated with that platform and it's continuing to ramp, but it ramped during the fourth quarter and it's continued to ramp during the first quarter. And it's now, in March and April, it's now originating at the pace that it was originating prior to the disruption that experienced when it sort of began engaging in the sale process. So we feel good about that. And I think as we've gotten to know the platform and then working on integration, I think we're all even more convinced that there's a lot of upside in terms of what the platform can bring to us and what we can bring to it. So we expect that, that fixed platform cost will continue to be leveraged as the FFR volume continues to ramp. The other addition to the operating efficiency change is that we added 12 salespeople to the core Marlin salesforce, six of those were filling in positions in our indirect business. If you recall last year, we went through a period of time where we were really having trouble getting to a full complement of sales people. And so we gave that a lot of effort towards the end of last year and we were able to successfully fill those six positions. And then finally, the last six, we added to the direct business and we made that decision because we really feel like we've got the right recipe in direct at this point and so we wanted to add resource to really take advantage of the fact that the business wants to do more working capital loan business. And in the direct side, 50%, 60% of our volume is working capital. So we want to grow working capital and we want to do it in a meaningful way. We need to continue to invest in the direct platform. So having said that, those investments are now made and we're not planning on adding any more sales resources over the balance of the year. And I think as FFR continues to scale and as the 12 sales positions that we added continue to season over the course of the year, we begin to experience through the P&L, the leveraging of the operating expenses that we've talked about and that you mentioned.
Brian Hogan: Great. Have you seen any change in the competitive landscape?
Jeff Hilzinger: No, nothing material Brian, I think it's a competitive place. It's a competitive market right now. And I think where our flows are smaller ticket and they are more retail oriented. In other words, we sort of control the relationship with the end-user, both indirect and direct. I would say it's less competitive than it is, when we're competing within the context of larger vendor programs with larger average transaction sizes. So as the ticket size gets larger and as our ability to be able to control the relationship with the customer decreases, it becomes much more competitive from a price standpoint.
Brian Hogan: Alright. And then from – what you’ve seen in the economy? From our standpoint it's relatively stable, but you're seeing a lot work with a lot of small businesses. I guess, what is your view on the economy and any changes in any regional – specific regions?
Lou Maslowe: Yes. Hi this is Lou, Brian. We monitor probably all the same things that you guys are seeing, but for our business we focus on for one small business optimism, which I said the same thing last quarter, while the results are tempered a little bit, they’re still at historically high levels. The indices that we monitor in terms of portfolio components continue to be stable. We have our own mix of leading indicators that we monitor that includes the portfolio metrics as well as macro economic factors. So summing all that up, we see stability, while keeping a close eye on potential changes. Our underwriting remains consistent and until we see really a material change, we'll continue to do that, stay consistent.
Brian Hogan: Alright. Thanks for taking my questions today.
Lou Maslowe: Thanks Brian.
Operator: Thank you. We have reached the end of the question and answer session. I would now like to turn the floor back over to management for closing comments.
Jeff Hilzinger: Thank you for your support and for joining us on today's call. I'd like to mention that later this month on May 20, William Blair securities will be hosting us on a non-deal roadshow to visit with investors in several cities in the Midwest. And on June 4th we'll be presenting at the LD Micro Investor Conference in Los Angeles. We hope to see some of you at these events. If not, we look forward to speaking with you again when we report our 2019 second quarter results in early August. Thanks again. Hope you have a great rest of your day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.